Operator: Greetings, and welcome to the Sterling Infrastructure's Third Quarter 2022 Earnings Conference Call and Webcast. As a reminder, this conference is being recorded and all participants are on a listen-only mode. There are accompanying slides on the Investor Relations section of the company's website. Before turning the call over to Joe Cutillo, Sterling's Chief Executive Officer, I will read the safe harbor statement. Some discussions made today may include forward-looking statements. Actual results could differ materially from the statements made today. Please refer to Sterling's most recent 10-K and 10-Q filings for a more complete description of risk factors that could affect these projections and assumptions. The company assumes no obligations to update forward-looking statements as a result of new information, future events or otherwise. Please also note that management may reference EBITDA, adjusted EBITDA, adjusted net income or adjusted earnings per share on this call, which are all financial measures not recognized under U.S. GAAP. As required by SEC rules and regulations, these non-GAAP financial measures are reconciled to their most comparable GAAP financial measures in our earnings release issued yesterday afternoon. I will now turn the call over to Mr. Joe Cutillo. Thank you, sir. Please go ahead.
Joseph Cutillo: Thanks, Doug. Good morning, everyone and thank you for joining Sterling's third quarter 2022 earnings call. The third quarter marked the 19th quarter with period-over-period improvements since 2017 and the eighth time we have raised our guidance during that timeframe. This world class level of performance is attribute to our people, our culture and our strategy, or what we refer to as the Sterling Way. It is an honor to be part of a team of 3,000-plus colleagues that consistently deliver best-in-class results while making sure we're always taking care of our fellow employees, our customers, and our communities. The Sterling Way has not only created an exciting culture for employees to be part of, but has delivered great results to our shareholders. Before we talk about the results of another outstanding quarter, I'd like to spend some time talking about our end markets and what is going on in each of our segments. E-Infrastructure, which remains our largest segment and represented 46% of our revenue and 66% of our segment operating income in the quarter, saw record bookings as data center, distribution center and warehouse demand remained high. In addition, we began seeing the first wave of onshoring a new manufacturing facility activity take place. A recent win of the new 500 acre plus Rivian Electric Vehicle plant in Georgia is yet another example of our ability to do large complex jobs in almost any end market. This new manufacturing activity, along with the continued strong demand for data centers and e-commerce warehouses continues to give us a positive outlook for 2023. Our Transportation Solutions segment, which represented 40% of our revenue and 17% of our segment operating income in the quarter, remains extremely strong as we saw bid activity pickup and margins improve. Our current backlog has a record margin of over 11%. Federal funding from the infrastructure bill continues to flow to the State's and the State matching funds remain extremely strong. The combination of our multiyear backlog, along with improved margins and increased bid activity, positions us well to finish 2022 strong and go into 2023 on solid footing. We continue to be disciplined on the jobs we select and will continue to focus on driving margin improvements through 2023. Our Building Solutions segment, which represented 14% of our revenue and 17% of our segment operating income in the quarter, saw significant softening in the quarter of new housing structure. The combination of material inflation and interest rate increases has caused the market to become less affordable for buyers. We believe this trend will continue through the fourth quarter. We have begun seeing builders become more aggressive on incentive programs to help buyers overcome the affordability issue, but do not believe we'll see any significant impact of these efforts until 2023. Despite the revenue decrease in the quarter, our operating income remained flat year-over-year as a revenue drop was offset by price increases. Overall, we're still facing challenges with the supply chain as we continue to see price increases and availability issues with concrete in decent. We believe concrete availability issue will change significantly in the fourth quarter for the better, but are uncertain as to how long and how significant the decent challenges will be. Now let's talk about the great results for the quarter. Revenue versus prior year was up 20%. This strong growth was driven by our E-Infrastructure segment whose revenue was up 111%. Our gross margin increased 220 basis points to 14.7%, with strong contributions from both Transportation and Building Solutions. Our net income increased 40%. Our earnings per share increased 35%, and our EBITDA increased 50%. We generated over $96 million of cash from operations and finished the quarter with $146 million of cash and cash equivalence. Our combined backlog grew to an all-time high of $1.9 billion. This is a 25% increase over year-end 2021, and positions us very well for the future. Our record results in the third quarter, coupled with our stronger than expected outlook for the fourth quarter, has enabled us to raise our full year guidance for the second time this year. The midpoint of our adjusted guidance improves net income 53%, our revenue by 21%, and our EPS by 47% over prior year. The new revenue guidance is $1.9 billion to $1.92 billion, with a net income range of $94 million to $98 million, and an EPS range of $30.8 to $3.21. Now I'd like to turn it over to Ron to give you more details on the quarter and our results. Ron?
Ronald Ballschmiede: Thanks Joe. Good mornings. I'm pleased to discuss our strong third quarter results and another record quarterly performance. Our updated investor relations slide presentation has been posted to our website and includes additional financial details to further understand our third quarter results. The presentation also provides additional modeling considerations, which underpin our 2022 revenue and earnings guidance. As you may recall, we close the Petillo acquisition on December 30th, 2021, resulting with the inclusion of Petillo's financial results for all of 2022. Let me take you through our financial highlights, starting with our record backlog metrics. At September 30th, 2022, our backlog totaled $1,665 million up $172 million over the beginning of the year. The gross margin of this backlog was 13.1%, a 90 basis point increase over the beginning of the year. A higher proportion of E-Infrastructure backlog and improved Transportation backlog drove this margin improvement. Unsigned low bid awards at the end of the third quarter totaled $235 million, an increase from $23 million at the end of 2021. We finished the current quarter with a record combined backlog of $1,900 million, a 25% increase over the end of 2021. Our gross profit and combined backlog was 12.9% compared to 12.2% at the beginning of the year. Our current quarter book to burn ratios were 1.24 times and [technical difficulty] for backlog and combined backlog, respectively. Our year-to-date book to burn ratios were 1.13 times for backlog and 1.29 times for combined backlog. Revenues for the current quarter were $557 million, up $93 million or 20% over the prior year quarter. The current quarter revenues were $256 million, and increase over the prior year quarter of [technical difficulty]. The current quarter increase includes revenues of $84 million from the late 2021 acquisition of Petillo and organic growth coming from Plateau of $50 million. Including the Plateau acquisition on a pro forma basis, E-Infrastructure organic revenue growth was 40% and 36% for the three and nine months ended September 30th, 2022, respectively. The E-Infrastructure organic growth reflects a continuing strong demand for distribution centers, data centers, and warehouses across our expanding footprint. Building Solutions revenues declined by $12 million [technical difficulty] period. This was primarily driven by a decline in housing demand as the ownership became less affordable due to increasing interest rates and inflation. Transportation revenues were $221 million in the current quarter, a decrease of $28.8 million or 12% from the prior year comparable quarter. This decrease was primarily driven by lower heavy highway and aviation revenues due to the timing of backlog execution and partially offset by increases in water related projects. Consistent with our strategic intent low bid, heavy highway work declined by approximately $10 million in the quarter compared to the prior year. As a result of this third quarter results, we have increased our 2022 revenue guidance to a range of $1.9 billion to $1.9 billion. Current quarter gross profit was $82 million, an increase of $24 million over the 2021 quarter. Gross margin increased to a record 14.7% or 220 basis points over the comparable 2021 quarter. This margin increase resulted from an increased mix of revenues from our higher margin E-Infrastructure segment, and increased margins from both our Transportation [technical difficulty] segments. Our gross margin improvements were negatively impacted by the continuing supply challenges and inflationary pressures, which primarily impacts our E-Infrastructure and Building Solutions segments. These challenges principally began in the second quarter of 2021 and have continued to date. General and administrative expenses increased $6.8 million in the current quarter to $26.5 million. Over a third of this increase is attributable to the Petillo acquisition with a balance driven by the inflation and higher revenue related incremental costs. We continue to expect our full year G&A guidance to be approximately 5% of revenues. Operating income for the quarter was $47.7 million, an increase from $32 million for the 2021 quarter. Our current quarter operating margin increased 8.6% compared to 6.9% in the prior year. Our current quarter effective income tax rate was 29%. We do continue to expect our full year effective income tax rate to approximate 28%. The net effect of all these items resulted in a record third quarter net income of $29.5 million or $0.97 per share. The prior year net income and EPS were $21.1 million and $0.72 per share, respectively. Our increased 2022 net income guidance is now $94 million to $98 million, and our earnings per share guidance is $30.8 to $3.21. Our third quarter EBITDA totaled $60.2 million, an increase of 50% over the prior year quarter of $40 million. As the percent of revenues, EBITDA proved to 10.8% of revenues for the quarter, up from 8.6% in the prior year quarter. We've increased our 2022 EBITDA guidance to a range of $197 million to $205 million.  Cash flow from operating activities in the first nine months of 2022 was $130.6 million compared to $135.7 million in the comparable 2021 period. Our current quarter 2022 cash flow from operations was $96.1 million. This strong third quarter cash flow significantly recovered from the slow cash generation in the first of 2022. The 2022 cash flow fluctuations were primarily driven by the ramp up of several new large alternative delivery projects ordered in the first half of 2021 and the significant 2022 organic revenue growth of our E-Infrastructure segment. Cash flows from investing activities included $44.8 million of net debt CapEx with a $3 million final acquisition related payment of $3 million relating to the final working capital adjustment. The CapEx increase reflects the increase E-Infrastructure Solution activities including the impact of the Petillo acquisition. Our cash flow from financing activity was $17.7 million outflow, reflecting our scheduled debt payments for the first three quarters of 2022. Finally, [technical difficulty] and strength of our portfolio businesses and our strong liquidity consisting of our record cash balance of $146 million and our comfortable debt levels at approximately two times forward looking EBITDA. Although, we have not seen a significant economic downturn across our segments, we are prepared if conditions worsen to deal with these uncertainties and to take advantage of additional opportunities for the balance of 2022 and into 2023 and beyond. Now, I'll turn over to -- back to Joe.
Joseph Cutillo: Thanks Ron. Our strategy to transform the company from a hard bid heavy highway business to an infrastructure solution provider [technical difficulty] customers, end markets and product solutions, has and will continue to prove its ability to deliver exceptional results even with adverse conditions in one of our segments. There remains tremendous uncertainty in what the 2023 U.S. economy will bring, but I feel confident that Sterling is positioned better than ever to weather any storm that [indiscernible], and I expect us to continue our positive growth trends. To reiterate, our increase year-end guidance range for revenue is $1.9 billion to $1.92 billion, with a net income range of $94 billion to $98 billion, and an EPS range of $3.08 to $3.21. With that, I'd like to turn it over for any questions.
Operator: Thank you. Ladies and gentlemen, at this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Sean Eastman with KeyBanc. Please proceed with your question.
Sean Eastman: Good morning, gents. Thanks for taking my questions. I wanted to start on Building Solutions. Obviously, seeing the top line pressure in the third quarter, sounds like the message is that the underlying run rate kind of continued to decline through the quarter. I guess, two things, first, any kind of preliminary thoughts on where revenues trend in 2023 from here. And second, I'm curious what's going on under the hood. I know there was a thought that perhaps Houston and Phoenix could help cushion this offering in Dallas. So, any update on kind of the underlying moving pieces there would be helpful as well.
Joseph Cutillo: Yeah. So, I think we still believe that Houston and Phoenix will cushion that, actually Houston was up in the quarter and I believe Phoenix may have been as well. So -- but what will happen, Sean, is you're going to see -- we believe, you'll see a dip. And then we're beginning to see builders put incentives and different programs in place and they're changing some of the plans for the next set of houses to be built, so they'll be a little less expensive. And they're actively moving to bring buyers in. And we're not seeing what I'll call just a steady decline. It's still very lumpy. There'll be good weeks and there'll be bad weeks, and it's a little more volatile than it is. But we just believe that the reality is it will take a little time for these incentives to get in for buyers to get back interested in understanding that they can afford the homes. And so, we think through the fourth quarter, we'll continue to see a decline. And then as we get into 2023, we think that will level off and we will start to see an increase from the bottom start to come out, probably late first quarter or second quarter of 2023.
Sean Eastman: Okay. That's helpful Joe. And then, on the E-Infrastructure margins, can you just refresh us on where we should be running with Petillo in the mix kind of ex the supply chain noise? I mean, is the operating environment stabilizing, should we expect some margin expansion in this segment in 2023?
Joseph Cutillo: Yeah. So let me touch you the high level, I will let Ron get into the details. We've got two dynamics going on in the infrastructure. The first and the significant one is exactly what you touched upon, the mixed differentiation of Petillo's margins versus Plateau's. Remember that Petillo and Plateau [technical difficulty] side margins are pretty much dead even. But Petillo has to do other activities or is driven by their customer base to do other activities, which tend to be lower margin, like some sidewalk work and sound walls, et cetera. So we have that dynamic. In addition, we have definitely seen some erosion overall in margin related to inflationary and supply chain issues. So, we have two dynamics that are taking place. If you remember, we use about 700,000 gallons of diesel a month. We saw $2 increase, it started out lower, but by the end of the quarter was up $2 from our earlier marks in the year. So, we [technical difficulty] for job. Ron, you want to get into the kind of the, I'll call it the normalized number [technical difficulty] and what it would be and what we see going forward.
Ronald Ballschmiede: Yeah. So, to the first point of just the different scopes of work that each of our -- excuse me -- each of our infrastructure folks work on, it's about overall. It reduces our operating income from the old days where we only had one to inclusion of Petillo. It's about somewhere between 150 and 200 basis points. And that'll bounce around a little bit because of mix, but that's sort of a going forward run rate. It's still great margins and great opportunities, but it just is a lower margin mix of work. And I think it's hard to measure the inflation and supply chain out, but it's probably about an equal number. That's the one that will recover when -- if when we see an improvement in the supply chain side, and obviously inflation, particularly in this year, diesel more than anything else bouncing around and then back up again of late. So, those are the kind of the two things. One, sort of a permanent prospective with the current mix of businesses. The other one is opportunity to claw that back in the next several quarters as we hopefully see some improvement.
Sean Eastman: Okay. Got it. And then last one for me on the cash flows. I recall you guys took down the guidance in the second quarter. Now it looks like we're trending to the top end of the original guidance. So, just curious what happened between those two updates?
Joseph Cutillo: Well, I'm never wrong, but I was wrong. I think the first six months with the significant organic growth and an inclusion of Petillo and just a slow start of the year and probably underestimated the recovery that we would have in the balance of the year, particularly on both the E-Infrastructure and on the Transportation side with those large jobs perking up. As you recall, those -- we started five significant job in the first six months of last year. And they all usually come with very nice front end cash flow, and then it, of course, balances out over the year. It balanced out faster than we thought. And I think, certainly our -- most of the change in revenue guidance and earnings. So, it's just a fantastic quarter coming out of E-Infrastructure. And of course, that's the profitability there is our largest growth profit we have and generate some profit.  So, we move the -- our recommendation or our guidance number, or certainly are trying to help people number to $150 million about the same as last year. Tell you the truth, I never thought we would beat next year, but we got a chance at being right on top of it and be plus or minus. Yeah. Right top of last year was $150-ish million. So, it was great news and put us in a fabulous position going forward, whether it's managing …
Ronald Ballschmiede: I think the other thing not to underplay in the quarter is we saw very nice margin improvements and continued margin improvement in Transportation. And the fact that we're able to hold our operating income in our Building Solutions with 13% or so less revenue was very nice. And more than beat our thesis [technical difficulty].
Sean Eastman: Sorry. Lost you guys for a second there. I appreciate it. And I'll turn it over there. Thanks guys.
Joseph Cutillo: Thanks Sean.
Operator: Our next question comes from the line of Brent Thielman from D.A. Davidson. Please proceed with your question.
Brent Thielman: Yeah. Thanks. Hey, Joe, how far does that E-Infrastructure backlog provide visibility for you at this point? Are you still filling in for the first half, or are you starting to look more into the second half of 2023 at this point?
Joseph Cutillo: Yeah. Generally, we have in the difference between Transportation and E-Infrastructure. Transportation, we have multiyear backlog. In E-Infrastructure, we look at it as -- we generally have six months or so, six or seven months of backlog there. So, we're starting to feel pretty full for the first half. We still have some capacity in the first half, that we can bring in. And we're assuming all the projects start on time and all that stuff, obviously. So, we're starting to fill up that first half in the stuff we're hunting for now is stuff that would start late in the first half or going into the second part of the next year.
Brent Thielman: Okay. Great. And then, continuing uptick in Transportation margins is great to see, just wanted to get your thoughts as we move into 2023, if that's still your expectation that you can continue to improve off levels--?
Joseph Cutillo: Yeah. We -- we're still pretty bullish. We have a -- we still have room to go and we think a fair amount of room, right? And every point of margin improvement, there's $7 million or $8 million to us. So, that's our focus -- is continue to be selective on the jobs that we pick, get that margin up another point or so over the next 18 to 24 months. And root the rewards of that studying going crazy. And as I've said, if for some reason the market gets extremely tight and we see margins up north of 12%, 13%, we'll get a little more aggressive on -- taking on more work at those margins. We won't go down in margin, but we want to keep eking it up to that level.
Ronald Ballschmiede: But Sean, you -- or Brent, you've been around this for a long time. It's -- our margins compared to the rest of the world in this business are world class right now. And the fact that we think we got another point or two that we can get out of them is pretty impressive.
Brent Thielman: Yeah. Okay. That's all I have today. Thanks guys.
Joseph Cutillo: Thanks.
Operator: Our next question comes from the line of Brian Russo with Sidoti & Company. Please proceed with your question.
Brian Russo: Hi, good morning.
Joseph Cutillo: Hey, Brian.
Brian Russo: So just to follow up on the Transportation segment. You announced that large $34 million contract. You mentioned better than peer average margins. What gives you the competitive advantage in the bidding process to not only win these contracts, but at higher margins than what your peers are realizing?
Joseph Cutillo: Well, I think, the first most important thing is, we believe one of our first jobs and responsibilities [technical difficulty] job selection, and there's billions of dollars being bid. Not all that billions of dollars is good job. So, one of the things we spend a lot of time on is understanding what are our core competencies? What are we really good at? And let's find those jobs and bid them appropriately. We also continue to move towards more alternative delivery and continue to shrink our low bid heavy highway to where we have much more control and much more line of sight of our destiny, which brings down our risk profile on these jobs. So, the other thing that people tend not to understand is not only are we selective on the jobs, not only is our initial margin that we're winning these at better, but one of the next most important things is, in general and on average, we finish slightly above our bid margins on these jobs. So that says that we have both risk mitigated and we also are executing at or better than our anticipated activities.
Brian Russo: Okay. Great. And just another follow on, the IIJ funding, are you actually seeing those funds being deployed by Department of Transportation customers in your footprint? Or is you sense that there's going to be a ramp up later in 2023?
Joseph Cutillo: It'll continue to ramp up, but we started to see the activity kick off towards the end of the second quarter, continue to ramp up in third quarter, will stay very strong. Our crystal ball of looking at what jobs are coming out in the first half and next year right now, what's even stronger. So, as the money flows to the states, the states then determine the projects. And so, we think it will continue to grow in and through 2023.
Brian Russo: Okay. Great. And then just on the infrastructure, obviously the Rivian award was very positive. The way to look at that is that kind of the first phase of what could be multiyear kind of recurring work for Sterling infrastructure?
Joseph Cutillo: Yeah. Both the Rivian facility and the vast majority of the data centers, when we announce those jobs, that's generally just the first phase of multiple phases. The Rivian plant will be a multiyear, multi-phase activity. Now, we still have to win those next phases, but we have a very high percentage of win rates. When we get in there, we do the first phase.
Brian Russo: Right. And the follow on phases obviously would be upside to your combined backlog?
Joseph Cutillo: That is correct. And just make sure I'm right on this run. The Rivian job is not in the third quarter backlog or in the third quarter announcements for E-Infrastructure of that $300 million.
Ronald Ballschmiede: Right. That contract was ultimately signed in early October. So that'll be a fourth quarter renewal.
Brian Russo: Okay. Got it. And then, also you mentioned reassuring, and obviously we're seeing a lot of high tech industrial expansion maybe accelerated by the CHIPS Act and specifically Micron up at Syracuse, New York. And I'm just wondering, is that within Petillo's footprint? And if you're not directly involved with Micron, are -- or are you planning to be involved in what's going to be quite a bit of regional expansion to support that new facility complex?
Joseph Cutillo: Yeah. That one's in the very early stages, have no idea, who ultimately get that or where it's going. It's still very, very early. But certainly that is within our footprint. We are watching the CHIPS Act and all of that manufacturing. There's several -- through that region that they're looking at very close. Where we have seen activities and in a lot of cases we're not allowed to announce, and in some cases we don't even know who the end customer is, but is around the battery activity associated with electric vehicles. So, we have our second project that we're doing on that in the East Coast. We're seeing a tremendous amount of activity around that area as well.
Brian Russo: Okay. Great. And then one more, if I can. Strong operating cash flow year-to-date, growing cash balance and you mentioned positioning yourselves for opportunities in 2023. Maybe you could just elaborate on kind how you prioritize capital allocation.
Joseph Cutillo: The fact that we have built a very nice war chest if things get rough in 2023. But right now, with our backlog and everything we're seeing, we're still very optimistic on 2023. We will continue to look for the right tuck-ins. We certainly need more capacity and some capabilities in our Building Solutions segment. We will look for add and tuck-ins in our E-Infrastructure segment, that could add either services or goods to our existing footprint. But I think most of our focus as we go into 2023 are going to be on what I'll call small tuck-in acquisitions. We're not -- we haven't stopped looking at bigger opportunities in the fourth leg. I think we're being a little cautious at this point in time, as we go into 2023. And we really like the really low debt ratio and the high cash that we have right now. But we'll continue to look for those right tuck-ins, which -- they could be, call it, $5 million to $40 million, $50 million deals that we can fit right in, take advantage of quickly, and give us either a competitive advantage or a product offering to our existing customer base.
Brian Russo: Okay. Great. Thank you very much.
Operator: There are no further questions in the queue. I'd like to hand a call back to management for closing remarks.
End of Q&A:
Joseph Cutillo: Thanks Doug. I'd like to thank everyone again for joining today's call. If after this call you have any follow-up questions or wish to set up a follow-up call with us, please feel free to contact Mary and our Investor Relations group or our partners at the equity group. Their contact information can be found in the earnings release posted earlier this week. With that, thanks again everybody, and hope you have a great day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.